Operator: Good day and welcome to the Xenia Hotels & Resorts, Inc. Third Quarter Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Ms. Lisa Ramey, Vice President, Finance. Please go ahead.
Lisa Ramey: Thank you, Dan. Good morning everyone and welcome to the third quarter 2016 earnings call and webcast for Xenia Hotels & Resorts. I’m here with Marcel Verbaas, our President and Chief Executive Officer; Atish Shah, our Chief Financial Officer; and Barry Bloom, our Chief Operating Officer. Marcel will begin with the discussion of our third quarter results and an overview our activities for the quarter and year-to-date. Barry will follow with additional details regarding operating performance and market color. Atish will conclude our remarks with the discussion on our capital allocation strategy and balance sheet, as well as an update on our outlook for the remainder of the year. We will then open up the call for Q&A. Before I get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties, as described in our annual report on Form 10-K and in other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued earlier this morning, along with the comments on this call, are made only as of today, November 7, 2016, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures to net income and definitions of certain items referred to in our remarks, in this morning’s earnings release. An archive of this call will be available on our website for 90 days. With that, I’ll turn it over to Marcel to get started.
Marcel Verbaas: Thank you, Lisa, and thank you all for joining our third quarter call. Our third quarter results were generally in line with our expectations, with Houston being the primary outlier. As with several of our peers, our third quarter benefited from the shift of the Jewish holidays into October and a democratic national convention in Philadelphia that took place in July. These positive factors were largely offset by the continued weakness in the energy markets, specifically, at our Houston area hotels. For the quarter, our Same-Property portfolio RevPAR declined 0.7%. On a monthly basis, RevPAR declined 2.8% and 2.2% in July and August, respectively, an increase 2.9% in September. During the quarter, we have net income attributable to common stock holders of $20.2 million, an increase of 11.9% over last year. Our adjusted EBITDA declined 2.4% to $73 million for the third quarter and our adjusted FFO per share remained flat at $0.57. Our Same-Property Hotel EBITDA margin was 33% for the quarter. Expense control continues to be an area of focus and we have pleased with our ability to maintain margins, particularly during a time of RevPAR growth challenges. The result of these efforts is that our Same-Property EBITDA margin year-to-date as of the end of the third quarter has increased by 26 basis points compared to the same period of last year on RevPAR of 0.6%. As we discussed last quarter, growth in the lodging industry continues to moderate due to a slowdown in demand coupled with supply growth, which is significant in several markets. While we believe we are better positioned than most of our peers from a supply perspective, our portfolio is not immune to the demand challenges the industry as a whole is experiencing, particularly on the corporate side and we are continuing to experience significant weakness in the Houston market. Against this background, we are concentrating on the aspects of our business that we can manage. By way of reminder and as we discussed in May at our Investor Day, four pillars make of our strategy. First our broad portfolio mix; second focus on quality through transactions and portfolio enhancements; third, differentiate the portfolio management through aggressive asset management initiatives and the leveraging of our relationships with brands and managers; and fourth, a strong financial profile and healthy balance sheet throughout the cycle. In the past year, we have upgraded the quality of our portfolio through several strategic dispositions, as well as capital reinvestment in our current portfolio. As previously discussed, we have sold six hotels since last fall, which on average had RevPAR over 25% below the remainder of our portfolio and an EBITDA per key discount of over 40%, generating gross proceeds of almost $310 million. The assets we have sold today not only share their positioning on the lower end of our portfolio, but also have significant upcoming capital needs in common. Our ability to exit our ownership of these assets had an attractive multiple while avoiding approximately $90 million in near-term capital expenditures has significantly strengthened our portfolio and our balance sheet. We continue to evaluate potential additional dispositions and we’ll provide details on any additional transactions if and when they occur. After the dispositions, we have completed to-date and the addition of the RiverPlace Hotel, the Canary, the Palomar Philadelphia, the two Grand Bohemians’, and the Hotel Commonwealth. Our company today not only owns a higher quality portfolio than at the time of our listing, but we have been able to achieve this, while continuing to strengthen our balance sheet. As a result our total portfolio RevPAR, during the third quarter was 6.3% higher than last year and our net debt to EBITDA remains at a low ratio of 3.5 times. This puts us at a very conservative level, among our peers particularly considering the fact we have no other senior capital. Atish will provide additional details on our balance sheet activities later on. In addition to utilizing proceeds from our dispositions to fortify our balance sheet, we have enable to return capital to shareholders through execution of our share repurchase program, while also maintaining a strong dividend yields at a manageable payout ratio. We announced an additional $75 million share repurchase authorization this morning. And we’ll continue to evaluate buybacks as part of our capital allocation approach going forward. We have also deployed capital into our portfolio by completing several significant renovations since our listing. In addition to the renovations, we completed at the Andaz Napa, the San Francisco Airport Marriott, the Hyatt Regency Santa Clara and the Marriott Napa Valley. We most recently completed the final installment of the renovation at the Hyatt Key West, which include an extensive soft good renovation of the guestrooms. Upon completion of this full property of renovation, which included not only discuss from renovation, but also to previously discussed Blue Mojito Bar renovation, construction of a new spa and the addition of two guestrooms. The hotel was rebranded as the Hyatt Centric Key West Resort & Spa just a few days ago. We are excited about the rebranding of the hotel and believe that the hotel’s premier location, newly upgraded rooms and amenities, combined with the Centric lifestyle brands will continue to drive solid performance. Now looking ahead, in the fourth quarter, we will complete the renovation of the meeting rooms and ballrooms at the Renaissance Atlanta Waverly and we will begin guestroom renovations at the Westin Galleria in Houston, Andaz San Diego, Bohemian Hotel Celebration, and Bohemian Hotel Savannah. The Western Galleria is the most significant of these and includes the complete renovation of the guestrooms, tub-to-shower conversions in 75% of the rooms and the creation of 10 additional suites through to combination of 20 existing guestrooms. This renovation will enable our hotel to provide guests with both the premier location in the Galleria, as well as the best rooms product in the markets, which we believe we are position the hotel well for the eventual recovery in Houston. We are planning for the Westin Oaks Tower to receive similar upgrades beginning and late 2017. We believe that these renovations and additional projects that we are planning to start later in 2017 and 2018 will position us well as the industry regain strength. In addition, we continue to be dedicated to aggressive asset management initiatives including our property optimization process. This has led to continued margin improvement in the third quarter and year-to-date. We are extremely pleased with our year-to-date expense controls, which demonstrates our ability to leverage our relationships with both brands and managers and contain cost in challenging revenue environment. Before turning the call over to Barry I would like to spend a few moments discussing Houston market. The third quarter in Houston was tougher than we anticipated and the fourth quarter forecast remains very challenging. Although our Houston area hotels only represent approximately 10.5% of our estimated 2016 hotel EBITDA, the weakness in the market certainly has an impact on our overall performance. This is evidenced by the fact that our Same-Property portfolio RevPAR excluding Houston, actually increased by 2.3% during the quarter. While we do not have the projection on the exact timing of the recovery of the energy markets and Houston in general, we look forward to the days ahead when Houston will be a driver of positive performance in our portfolio. We believe that the improvements that we are making to our high quality assets in the markets, during this time of reduced demands will serve the company well when the cycle turns. And we remained steadfast in our belief that the location of our assets in the market is second to none. With that I will turn it over to Barry, who will provide additional details on our operating performance.
Barry Bloom: Thank you, Marcel and good morning everyone. As a reminder all of the portfolio information I will be speaking about is reported on the Same-Property basis for 43 hotels. As Marcel mentioned, our RevPAR for the quarter was down 0.7%, which is comprised of a decline in occupancy of 72 basis points and a slight increase in rate of 0.3%. Excluding our four hotels in the Houston area, portfolio RevPAR grew 2.3% for the 39 remaining properties as occupancy was up 74 basis points and ADR increased 1.3%. Year-to-date through the end of the third quarter, our RevPAR is up 0.6% compared to 2015 with a 77 basis point decline in occupancy and a 1.6% increase in rate. Excluding our Houston area hotels, RevPAR for the portfolio year-to-date grew 3% due to a slight increase in occupancy of 31 basis points and a 2.6% increase in ADR. Of our 30 markets half had positive RevPAR growth for the quarter. Our strongest market was Philadelphia, which benefited from the DNC in July and achieved RevPAR growth of 38%. Other top performing markets included Charleston in West Virginia up 18%, Fort Worth up 14%, Santa Barbara up 8%, Dallas and Napa both up 6% and Honolulu, San Diego and Denver each up 4%. As mentioned earlier, Houston remains a tough market due to the volatile energy markets and significant additions of supply. RevPAR for the quarter was down 24.5% as occupancy was down 11 points and rate declined 11.5%. Year-to-date San Francisco, Philadelphia, Atlanta and Santa Clara are our top performing markets. As we’ve discussed previously, our Marriott San Francisco Airport enjoys diverse demand generators, with its proximity to one of the busiest airports in the U.S., as well as Silicon Valley. While 2017 will be a challenge for San Francisco market with the closing of Moscone Center. We believe our hotel will continue to capitalize on its unique location in relationship to high quality technology and biotech firms located along the San Francisco Peninsula. They’re not yet included in our comparable hotels statistics, we are pleased with the performance of the Grand Bohemian in Charleston and Grand Bohemian in Mountain Brook, are two development projects that open in the second half of last year, as well the Hotel Commonwealth, which we have acquired in January. The two Grand Bohemians are terrific absolute RevPAR performers both in the context of their individual markets, as well as in our overall portfolio. The Commonwealth also continuous to performed very well, with RevPAR nearly equal to last year despite the addition of 96 rooms to the previously 149 room property. Even more significantly, we expect the property will improve its EBITDA margin by approximately 1,500 basis points from last year. We are pleased with the growth trajectory of these hotels and expect them to continue to perform well. Turning back to Houston, I’d like to provide some additional detail. The third quarter significant underperformed our expectations. In the second quarter of last year performance took a dramatic downward turn and we originally anticipated that the third and fourth quarter of this year by benefit from easier year-over-year comps. To date that has not been our experience and has been difficult to ascertain when the market may stabilize. One of the harder things to predict is the impact of new supply to a market with such challenging demand characteristics. And as we’ve discussed previously, the Woodlands submarkets seeing significant supply open this year. Two new directly competitive hotels open in early 2016 and they continue to compete aggressively with our Marriott on rate. In addition three Select Service hotels have open between our hotel in the new Xenia campus with the past 12 months. These have also had some impact on our hotel. Fortunately, all current projects in the competitive market have been completed and several potential progresses have either been deferred or cancelled entirely. The Galleria submarket continues to struggle as a result of supply additions and the return of newly renovated rooms in the market. In addition of the supply that is already open, the 1000 room Marriott Marquis will open in Downtown, Houston in late November. We expect this hotel to impact overall compression in the market, which will be more significant during this period of weak demand. On a citywide basis, despite hosting the Super Bowl in 2017 to mention phase for Houston for next year is down in the low to mid single-digits in terms of percentage points. Even with the dramatic downturn in the top line of our Houston hotels we’re pleased with our hotels average to control expenses in this difficult environment. As mentioned previously, we’ve spent a significant amount of time identifying potential cost and productivity savings, a process that began as soon as you recognize the current downturn in top line performance. Year-to-date, the EBITDA margin at our four Houston area hotels has declined only 250 basis points and RevPAR decline of 16.4%, a direct result of us proactively addressing the cost structures and each of these hotels. For the overall portfolio, we achieved EBITDA margin growth during the quarter of 26 basis points, despite negative RevPAR growth. Aside from Philadelphia, our margin also benefited from the DNC, with several hotels that experience margin growth of over 500 basis points for the quarter including our Hilton Garden Inn, Washington DC and the Fairmont in Dallas. The significant margin improvement of these hotels is due largely to productivity improvements and the ongoing efforts of our asset managers and our portfolio initiatives team. Our business mix remains constant for the quarter with transient business accounting for approximately 70% of our revenue. As reflected in our overall RevPAR, both our transient business and group business were virtually flat for the quarter. We continue to have more attrition than originally anticipated as certain pieces of group business did not pick up their blocks in line with our expectations. Overall we were experiencing comparatively weak pricing power in a large number of corporate transient market and with specific individual volume corporate accounts. We are frequently seeing slower pickup in demand, even for days of the week that typically sell out with various market participants reacting by lowering prices, which is leading to discounting by the entire market. We continue to work with our management companies on specific efforts to ameliorate these trends. Looking ahead at 2017, total group booking revenue pace it currently up in the mid single-digits with solid bookings for the first quarter where group revenues pace is particularly strong due in part to the shifting of Easter back to the second quarter. We are pleased to have secured increases in both room nights and rates for a number of our largest annually recurring bookings for 2017. With that I will turn the call over to Atish, who will discuss our financial position in greater depth.
Atish Shah: Thank you, Barry and good morning. I will cover two topics today. First I’ll discuss our financial profile and balance sheet. Second, I will provide our outlook for the remainder of the year and some initial thoughts as we look forward to next year. I’ll begin by discussing our financial profile and balance sheet. We continue to be well positioned for the current operating environment. Our balance sheet is strong as reflected by a 3.5 times leverage ratio. We are well positioned to take advantage of future growth opportunities. Since our last quarterly call, we have executed on plan to continue to strengthen the balance sheet. We have repaid over $225 million of property level debt in part from proceeds of asset dispositions. In doing so, we have addressed all debt maturities until April 2018. Including potential extensions, our weighted average loan duration currently is approximately five years. We have increased our asset level flexibility and resource base as well as 28 of our 46 owned hotels are currently unencumbered by property level debt. We also strengthened our balance sheet by modifying two property level loans. These modifications extended the maturity dates on the loans into 2022. As part of the modifications we were able to draw down over $40 million of total proceeds without any change to the interest rates of the loans. Our overall weighted average interest rate is 3.17%. This low interest rate is the result of our mix of debt. Almost half our debt is variable rate debt. Over time, we intend to increase our share of fixed rate debt in order to lock in favorable rates. In fact during the quarter we fixed the interest rate on two of our loans. The fixed rates on these loans are attractive at less than 3%. As to our liquidity, we currently have over $75 million of unrestricted cash and $390 million of capacity on our credit line. These resources are available to us should we see attractive opportunities. Now I would like to turn to our revised outlook for the full year 2016. We have revised our guidance for full year Same-Property RevPAR change to flat to down 1%. This reflects a reduction of 100 basis points. Excluding our Houston area hotels, we currently expect the remaining 39 hotels to generate full year RevPAR growth of between 1% and 2% relative to 2015. Our adjusted EBITDA forecast is currently $282 million to $288 million. This is approximately $7 million lower than our prior guidance primarily as a result of lower revenue expectations during the fourth quarter. We expect adjusted FFO to be in the range of $231 million to $237 million, which equates to $2.14 to $2.19 on a per share basis. It’s important to note that our reduction in guidance is due primarily to lower fourth quarter expectations. The four reasons for the reduced fourth quarter outlook are as follows, first, weaker performance in Houston; second, lower group pace; third, flat transient business expectations; and lastly, the impact of Hurricane Matthew. Our hotels located in Houston are expected to continue to experience significant RevPAR declines in the fourth quarter. For the fourth quarter we’re currently forecasting our Houston area hotels as RevPAR to decline 18% to 20%. As to the changes in group pace fourth quarter pace is down in the mid single-digit percentage range. We expect in the quarter for the quarter bookings to also be soft and saw some cancellations in October. Transient business on the books for the balance of the year is flat to last year, but as we know this business is very short-term in nature. As for Hurricane Matthew our hotels in Charleston, South Carolina, Savanna and Orlando were each negatively impacted. These hotels experienced some combination of evacuation or curfews in their markets. We estimate the negative impact to be approximately 25 basis points to fourth quarter Same-Property RevPAR and about $400,000 to EBITDA and FFO. As it relates to net income and FFO, our expectations for interest expense, as well as income tax expense have come in slightly as we have fine tuned our estimates. Looking ahead to 2017 our properties are in their budgeting process, so it is a bit early to provide a specific outlook. There are a few factors which make us cautious for next year. First the citywide convention pace appears to be weak in many of our markets. Markets such as Denver, Austin, and Dallas are currently showing citywide pace off over 20%. D.C. shows strong pace as you would expect, and in Boston convention pace is slightly positive. Second next year we will see significant new hotel openings in Houston, Napa, Austin, Dallas, and Denver. These five markets represent about a third of our annual hotel EBITDA, it is likely that supply growth will be greater than demand growth in these markets. So we would expect that this new supply will take some time to be absorbed. Third, we have several renovation scheduled for 2017. For the full year, we expect this to be a slight headwind to RevPAR relative to 2016. We believe these renovations will better position these assets for the long-term. We also believe that the returns we can generate from these investments are superior to those we can generate from other uses of our capital. All this said we continue to be optimistic about our ability to maintain margins in this environment. We are still hard at work on our property optimization reviews at our hotels and continue to find more efficiencies. In the same way, we continue to fortify our position by making targeted capital expenditures at some of our hotels. Our goal is to take advantage of this time in the cycle and be well positioned when growth rates improve. Again, and to wrap up, we are pleased with a results, particularly with regard to margins. We are focused on making the right capital allocation decisions. We have geared the company for softer operating fundamentals and remain positioned for new opportunities. This concludes our prepared remarks. Dan, we will now take our first question.
Operator: Yes, sir. We will now begin the question-and-answer session. [Operator Instructions] And our first one comes from Jeff Donnelly of Wells Fargo. Please go ahead.
Jeff Donnelly: Good morning, guys. I guess first question maybe to start out with, Barry, it was impressive margin growth considering the soft top line. I was curious what specifically was behind some of the cost reductions and I guess were those savings broad based or do they really kind of follow in the hotels were the top line was weakest?
Barry Bloom: Couple of things, in looking at this quarter-to-quarter obviously is a little bit skewed as opposed to the year-to-date. We did have a couple of pieces that – in terms of reclassifications that aided us a little bit. But what we’ve continued to do is as we’ve been talking about for quite a while is really digging into our hotels. We have two-pronged asset management approach, where really a traditional approach with day-to-day asset managers as well as our in-depth on property portfolio initiatives team that does these property authorization processes. I think we were prepared early for the downturn. Our asset managers have an average of 28 years of experience in the lodging industry. So they’ve seen a lot of cycles and that really has helped us dig in very early. In general we are holding margin well throughout the portfolio, so in not just Houston. The kinds of savings we are finding in general in very broad strokes, but we find a lot of opportunity in modifying labor scheduling, managing overtime hours, and alignment with corporate purchasing programs or getting the properties back in line with corporate purchasing programs. We look at little things to everything from switching from canned soda to fountain soda in a restaurant or reducing the number of free bottled waters in a guestroom were part of that plan. We’re also doing it on the revenue side as well. Particularly in the ancillary revenue side where we are finding opportunities to implement or increase pricing for the items that are delivered to guestrooms like rollaway beds and refrigerators. We’ve taken a deep look at our restaurant pricing and are doing a lot of rounding or semi-rounding in pricing. And really just adjusting and taking a look at every revenue item in the hotel, which obviously provides very good margin growth and we are able to implement those because they’re generally 100% flow through items.
Jeff Donnelly: That’s helpful and I’m not sure if you’re – Atish have it handy but are you able to talk about the margin change for this quarter for just the Houston assets and for the portfolio overall excluding Houston?
Barry Bloom: It was – one second, Jeff. Just hold on…
Jeff Donnelly: Yes. Okay. Actually if you want I can move on and ask you a second question maybe?
Barry Bloom: Why don’t you do that while we pull that info?
Jeff Donnelly: Okay. Actually maybe I’ll just ask for Marcel, as you mentioned at the beginning of the call about the prospect for additional dispositions. Do you have a rough sense of how many more properties either by rooms or by count that you might consider selling in the next 12 to 18 months or is it just really not at that point yet where you have really kind of formulated a target list?
Marcel Verbaas: Yes. That’s – good morning, Jeff. We don’t really have a specific target list of saying X amount of additional dispositions. We are obviously pleased with what we’ve done to date and we’ve been pretty active not only just kind in a vacuum but also kind of looking at us compared to years and how much we’ve been able to transact. So we are pleased with what we’ve done so far. Certainly we are looking at break under the long range growth prospects for some of our assets and particularly when we are coming up on some of these renovation decisions for some assets and we look at our wholesale analysis and decide whether it is time to potentially sell some of those assets. I talked a little bit about some of the renovations that we’ve got coming out, so obviously we’ve made decisions on certain assets that we feel that those are great long-term assets for us and we are going to maintain those assets and position them better coming out of a potential downturn. So, certainly its more – little bit more around the margin than what you’ve seen us do over the last 12 months. But we are certainly not shutting our eyes to some additional dispositions. And again we will provide detail as some of those come to fruition.
Jeff Donnelly: Okay. And then maybe just one last one for Barry. How do you think about the Super Bowl impacts in Q1 next year, I mean is the headwind in California that you could face offset by maybe the tailwind you’re going to catch in Houston? I’m just – wasn’t sure if you had a rough sense of that.
Barry Bloom: Yes. My sense is, yes, the Super Bowl obviously it did not set up great for us in San Francisco and Santa Clara this last year. Although we think we did well through the period. Having the game concentrated where the guestrooms are I think will be really helpful. We are looking at probably at this point, a net revenue increase year-over-year related to Super Bowl of about $1 million assuming everything that we’ve booked kind of sticks. And we think we’ve done a good job again of picking the right kind of business, some business that comes in a little earlier stays a little later and really trying to fill those shoulder periods before and after the game. We don’t expect really any impact at the Woodlands. I’m really talking specifically about Galleria.
Jeff Donnelly: Okay. Thanks.
Barry Bloom: Sure. Back to your question on margins. So as we had said we were 26 basis points of margin improvement for the 43 same-store hotels without Houston, margin improvement was 71 basis points.
Jeff Donnelly: Great. Thank you very much.
Barry Bloom: At hotel EBITDA.
Jeff Donnelly: Okay.
Operator: Our next question comes from Thomas Allen of Morgan Stanley. Please go ahead.
Thomas Allen: Hi, good morning. I’m just talking about the dispositions I mean what are you hearing in general from the broker community or from the buyer community for transactions? Thank you.
Marcel Verbaas: Good morning, Thomas. This is Marcel. I’ll take that question. What we’re seeing is volume of transactions is certainly down a little bit and I think what we expected to happen has certainly happening where we’re seeing a little bit of softening on prices out there. And that’s not an expected as the year has kind of progress. We look at it obviously from both perspectives. We continue to also look on the acquisition side maintaining a pipeline of assets that may be a good growth vehicles for us going forward. We haven’t quite gone through the point where we found those opportunities that we feel strongly about to pursue. But we continue to keep our eye out for those. On the flip side, on the disposition side, like I’ve said we were pleased with what we’ve done to date. We still are seeing opportunities out there and I think the landscape hasn’t changed dramatically as far as the type of buyers that are out there from what we talked about a quarter ago to where we are today.
Thomas Allen: Helpful. Thank you. And then just thinking about your balance sheet. How are you thinking about the sensitivity? How are you thinking about the sustainability of your dividend? And then maybe the sensitivity of it to potential EBITDA trends? Thanks.
Marcel Verbaas: Yes. That’s great question, Thomas. So I think – how we think about sensitivity is in terms of the payout ratio. So our payout ratio on the low 60% range is certainly on the low side relative to the peer set. So we believe that’s representative of what on a relative basis should be stable dividend. And then I think in terms of overall profile of earnings, I mean we are – we do obviously look at – kind of the progression in earnings and think about dividend in that context and again it comes right back to payout ratio.
Thomas Allen: Okay, helpful.
Marcel Verbaas: Okay.
Thomas Allen: And then just two quick numbers questions: any color on what October RevPAR was, now that, that’s past? And then, corporate negotiated rates, any expectation for kind of annual average increase of rate for next year? Thank you.
Marcel Verbaas: Yes. As it relates to October, as you’ve pointed out obviously we’ve got a good sense of where October came in and it certainly is a component of what we talked about in our guidance. We were down in the mid-single-digits in RevPAR in October. And clearly the shift of the Jewish holidays factored into that, and all the things that we kind of new calendar wise we’re going to make a difference between September and October certainly played out. But the softness that we saw in October is certainly what drove us in our decision making when we looked at guidance for the quarter for the full year.
Barry Bloom: And on corporate negotiated rates, a little early in the season for us to have really good info on that. We are our asset managers are on the road, most of this month in their budget reuse. And what we’re seeing is – as you would expect varying a lot by market and a lot by account. So there are some cases where we’re having very good success, where we know accounts like staying with us and the markets are still fairly compressed and we’re able to drive some strong growth on the other hand. We’re also seeing as corporate travel managers get smarter and smarter, they recognize when markets are soft. And they’re trying to beat up all the hotels in a given market. So really too early to identify anything overall as a trend in terms of how those two disparate environments come together.
Thomas Allen: Thank you.
Operator: And our next question comes from Bill Crow of Raymond James. Please go ahead.
Bill Crow: Thanks, good morning guys. Could you maybe link or should we be linking potential dispositions with a more aggressive share repurchase platform.
Marcel Verbaas: Good morning, Bill. I’ll take that question. As you know, we’ve obviously been fairly active on our buyback program that we announced last year. So we had about little under $30 million left under that authorization and as we pointed out in our remarks and as you saw on the release. Our board authorized an additional $75 million buyback on top of that. What we’ve done and what we feel strongly about is to have really a balanced approach. We’ve been able to reduced leverage. We’ve been able to extend maturities out. We’ve done some things with proceeds from dispositions to continue to fortify the balance sheet. And we’ve also taken advantage of the opportunity to buyback shares at what we believe is attractive pricing. So we will continue to look at that going forward. I think longer term we’re certainly looking at kind of utilizing all these different tools that we have available in our capital allocation efforts and that includes continuing to look at potential buybacks. It includes also continuing to look at what other acquisition opportunities that will be available going forward. And overall we’re just very pleased with what we’ve done with our balance sheet and where we are now, and the different opportunities that we have as a result of that.
Bill Crow: Thanks, Marcel. Let me switch over to Atish and ask you a margin question. The other direct expense line seemed to be quite a bit lower than it has been the last five or six quarters. Is there a reclass or something going on in that line item that we need to be aware of?
Atish Shah: Yes, that is the reclass that Barry had mentioned earlier. So, that is a factor with regard to that line item.
Bill Crow: Atish, I’m sorry, which reclass is that?
Atish Shah: It’s on parking. So it relates really to parking revenues and expenses. So that’s representative of one of the factors in that line item in the other is obviously the ancillary revenues that we generate from some of our hotels particularly ones that are more group oriented. So we’ve seen some of those ancillary revenues come down and Houston’s a driver of that as well.
Bill Crow: Okay. And then last question from me. As you think about the two Grand Bohemian hotels going into your same-store portfolio, which I assume will happen at the start of the year, if that is correct, will that have a disproportionate impact on how you report same-store results next year? Or are they pretty well ramped up to stabilize?
Atish Shah: Two things, they are still ramping up but they are relatively small in the grand scheme of the entire same set portfolio. So I don’t think it’s going to have a huge impact and they opened roughly a year ago. So little more than a year ago. So they’ll continue to ramp a little bit from here, but not a huge impact.
Bill Crow: Okay.
Marcel Verbaas: Now it’s only 150, obviously small room count between the two hotels. So it’s a very small impact on what I would say particularly on those two Grand Bohemians they ramped pretty well on the RevPAR side. We think that there’s definitely some margin improvement to come particularly on those hotels. The Commonwealth as Barry pointed out some of the specifics on their hotel that would also become part of our same-store comparisons as of the new year. And as you can tell from the improvement that we’ve already seen in margin there this year, that is much more over a stabilize situation too.
Bill Crow: Yes. That’s it for me. Thank you.
Marcel Verbaas: Okay.
Operator: And our next question comes from Whitney Stevenson of JMP Securities. Please go ahead.
Whitney Stevenson: Hi, everyone. Good morning.
Marcel Verbaas: Good morning.
Whitney Stevenson: I was wondering if you would mind talking just a little bit about what you’re anticipating from the brands for next year in relation to distribution. And maybe specifically just what you see as far as them moving beyond discounting to increase the value proposition for booking direct?
Barry Bloom: I think, we’re still pretty early in the process of the discounting piece. And I think we continue to keep an eye on that. Unfortunately in the current environment it’s been very hard to evaluate, whether it’s been successful or not. So we do expect that program to stay in place and until the brands can really evaluate whether or not it is moving any share away from the OTAs or not. I think in terms of specific distribution strategies that they’re looking at for next year. It’s obviously continues to be centered around loyalty and building, building their frequency programs. Certainly I think it will be an interesting environment given the Marriott Starwood Merger and how strong that program – even stronger that program has become in the combination of two programs that may have been serving somewhat, different demographics and that may now create a real powerhouse in that regard in terms of First Choice in loyalty. But I think those are some of the kinds of things will see going forward.
Whitney Stevenson: Okay; and then anything specifically, maybe on cancellation fees? Or cancellation policies in general?
Barry Bloom: It’s interesting. Almost all of our group contracts through the hotels have cancellation policies in place. What’s really hard to look at and track is that. So when we have that – so we almost always have the ability to collect cancellation fees. However, the practice is to give some of sort of rebooking window when a group can come back and rebook within that, which pushes either the actual business inventory booked or the associated cancellation fees out 6 to 12 months from when the business would have occurred. So we would expect, although we don’t necessarily budget for it, I think, industry wide we would expect to see given the cancellations in Q3 and Q4 of this year, either hopefully, rebooking which is what you always want, or increased cancellation fees hitting sometime throughout 2017, again, kind of thinking about the broader industry.
Whitney Stevenson: Okay, great. Thank you.
Operator: And ladies and gentlemen this concludes our question-and-answer session. I would like to turn the conference back over to Marcel Verbaas, for any closing remarks.
Marcel Verbaas: Thank you. I would like to thank, everyone for joining us today for our third quarter call and we look forward to updating everyone after the turn of the New Year. And as we look forward to 2017 and what’s, as Atish points out, is obviously a little bit more difficult to operating environment than we’ve been operating under, but we feel very good about the steps we’ve taken overall both on the expense control side and particularly how we set up our balance sheet to really take advantage of opportunities going forward. So we thank you for interest today and look forward to updating you in the future.
Operator: And ladies and gentlemen the conference is now concluded. Thank you for attending today’s presentation you may now disconnect.